Operator: Good day and welcome to the Franklin Street Properties Corp. Q4 2020 and Year-End Earnings Call.  I would now like to turn the conference over to Scott Carter, General Counsel. Please go ahead.
Scott Carter: Good morning and welcome to the Franklin Street Properties fourth quarter and full-year 2020 earnings call. Joining me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeff Carter, our President and Chief Investment Officer; and John Donahue, President of FSP Property Management. Also joining me this morning are Toby Daley and Will Friend, both Executive Vice Presidents of FSP Property Management.
John Demeritt: Thank you, Scott, and good morning everyone. I'm going to give an overview of our fourth quarter and year-end results. Afterward, I'll pass the call to George for his comments. As a reminder, our comments today will refer to our earnings release, supplemental package and the 10-K which as Scott just mentioned can be found on our website and is on file with the SEC. We reported funds from operations or FFO of $17.5 million or $0.16 per share for the fourth quarter of 2020 and $79.4 million or $0.74 for the year ended December 31, 2020. During the fourth quarter, we worked with tenants that were impacted by the pandemic and had a significant write-off of one large tenant that filed for bankruptcy in late December that resulted in a $3.1 million charge against our revenue. As part of making decisions on write-offs, we determine whether a lease is collectible or not. If we determine it's not collectible, we write off the receivables and don't report any current rents, unless they're paid in cash. So, part of the loss we wrote-off is from receivables, which is more of a one-time charge and part of the loss are current rents that we didn't collect. These write-offs reduced revenue on the income statement. During Q4, we had write-offs and lost rent of about $3.1 million which is primarily from a tenant bankruptcy that I noted and on a year-to-date basis, the total write-offs were about $3.8 million or about 1.5% of our annual rental income.
George Carter: Thank you, John. I would like to start my portion of this earnings call by recognizing the many different people that contributed to helping Franklin Street successfully navigate the challenges of our business in 2020 that was so impacted by the COVID-19 pandemic. It has been one of the most challenging and collaborative efforts I have ever seen in business.
John Donahue: Thank you, George. Good morning, everyone. At the end of the fourth quarter, the FSP portfolio including redevelopment properties was approximately 83.8% leased which is a decrease from 84.3% leased at the end of the third quarter. The decrease was primarily attributable to the disposition of Emperor Boulevard in December. The average leased occupancy of the portfolio for calendar 2020 was approximately 83.6%. FSP leased approximately 1.130 million square feet during calendar 2020, which included 368,000 square feet of new leases and approximately 150,000 square feet of expansions with existing tenants.
Jeffrey Carter: Thank you, John. Good morning, everyone. We here at Franklin Street Properties hope that everyone is safe and healthy in these uncertain times. I wanted to start my comments today by sharing four key priorities for FSP during 2021. The first will be ongoing efforts to work as partners with our tenants to navigate the COVID-19 pandemic together. FSP recognizes and appreciates that our tenants' health and safety are essential. The second is to continue working to lease vacancies and on renewing or expanding existing tenants in order to grow occupancy and value within our portfolio. The third will be to build upon our December 23 sale of Emperor Boulevard with additional but select dispositions, estimated to be in the range of $350 million to $450 million for full-year 2021 and then to utilize such proceeds primarily for the repayment of debt in order to gain greater financial flexibility and to position FSP for stronger shareholder returns. I will describe our thoughts on this subject further in my comments ahead and fourth will be a continued commitment to our strategy of owning high-quality office properties within the US Sunbelt and Mountain West where we continue to see strong long-term job and population growth potential. More specifically on the dispositions front and following the sale of Emperor Boulevard in December, FSP will look to pursue additional dispositions of select properties, particularly where we believe that embedded value exists, that may not be appropriately reflected within our current share price and then to utilize such proceeds primarily for the repayment of debt under our revolving line of credit and term loan facilities as well as for any special distributions necessary to meet REIT requirements.
Operator:  The first question comes from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Good morning, everybody. Jeff, I'd love to start with you and talk a little bit more about the asset sales, obviously, some big news today. Can you give us more of a sense of kind of what you want to sell? What's in the market today, how much that you're already marketing of the $350 million to $450 million and what the cap rates do you think will be on even a wide range that you anticipate by the end of the year culminating these transactions there?
Jeffrey Carter: Thanks, Dave. Important questions and thank you. I'm unable today to identify specific assets or markets for both competitive reasons and since we're still refining that target list as we've discussed on our call just a moment ago. But I can provide some additional color that we anticipate, again, potential 2021 disposition assets will include properties from both our smaller opportunistic markets as well as from some of our larger markets and we'll judge potential sales based on an assessment of if, and this is the big if, if they have met their near-term valuation goals.
Dave Rodgers: I guess given that comment and given that you did a number of renewals, expansions, extensions in the quarter, when I think of Virginia or St. Louis, I mean, is this the type of asset that you're thinking of getting rid of or when you say Mountain West, does that mean Denvers's in and Minneapolis is out?
Jeffrey Carter: Great question. Thank you. Important question. I think your comment about properties, when you look at our asset portfolio and you look at properties in the case that you mentioned, River Crossing or - I'm sorry, Timberlake and Meadow Point with Booz Allen and Centene and Timberlake, that is exactly the type of asset where we have worked hard to maximize and get the full value for our shareholders. So, I think those are the types of candidates that you would see in our mix this year. As you look at market and it's an important question, as you look at a markets like Minneapolis to your question, I think it is - for us, looking long term, our portfolio is going to be dominated by the Sunbelt and the Mountain West and emphasized quality assets. And so Minneapolis, as you look at the long term, will probably not be a part of that mix, but getting to that point, we have 750,000 square feet of high-quality assets in the CBD there and we're going to continue to evaluate what the right moment is to realize our valuation objectives for our shareholders.
Dave Rodgers: Okay. Thank you for that. On - maybe move to John Demeritt, on the dividend and the special dividend and maybe George you can weigh in here too, if you're selling that many assets, you've held these assets for quite a while, do you anticipate a special dividend this year and then how have you thought about the recurring dividend going forward?
George Carter: Dave, it's George. So, I always answer the dividend question the same way and I'm going to do it again, but I'll give you more color this time. And the answer for shareholders to always know about FSP and our dividends is that our dividend is decided each quarter by our Board of Directors. It can go up, down, stay the same and that is an unqualified statement. However, to give you more color, last year or 2020, our dividends totaled $0.36 per share for the year, about $38.6 million and after the sale of Emperor Boulevard, which was $89 million approximately, we did record a gain on that. And in terms of return of capital on that dividend, there's only about a $0.02 per share return of capital on that $0.36 per share yearly dividend. So, we really paid out dividends that came real close to our taxable income for REIT dividend purposes. And I think what's important to recognize is that FSP is committed to maintaining REIT status and paying out the appropriate dividend relative to the dividend taxable income calculation that you have to do. If we - with our $0.36 or $0.09 per quarter dividend came real close on the $89 million Emperor Boulevard sale and we are able to generate sales of $350 million to $450 million in 2021, you would certainly anticipate - you would have to look closely at what the dividend payout would have to be to meet the REIT requirements and we will meet the REIT requirements for dividend payout in 2021.
Dave Rodgers: Okay, fair enough. Last one, George, this is probably for you. The plan at least between the fourth quarter of '20 and 2021 is to sell just over 25% of your assets at book value undepreciated. How do you think about kind of sizing the Company appropriately from a G&A perspective or do you feel like you're as lean as you can be?
George Carter: I'll let John Demeritt talk about G&A, but I would say this ahead of that that all office REITs - I mean, I now feel the way we do that their assets in this market have been discounted heavily to what they consider as their NAV regardless of what book value says on balance sheets and so on. And we believe that that is especially true for many of our assets and that a lot of the CapEx and so on and effort we've put in the last few years have yielded assets that are so steeply discounted to their true market value. Today, in the market, even though dispositions nationally are down because of COVID that as a percentage of the portfolio, we're going to sell that percentage may not be exactly the percentage that is represented by a local calculation. So, that will be my first point, Dave. And the second point is that as we reduce debt with these proceeds, we are gaining a lot of flexibility for our business and plan to use that flexibility to create more long-term value for our shareholders. The G&A that surrounds that creation is going to be the question. And from my point of view, I think, our G&A is one of the lowest in the industry now and I think we're pretty competitive there and I think we're pretty competitive on our G&A going forward to use this new found and flexibility with some debt repayment to create greater value for the shareholders. And now, John Demeritt, you want to weigh in on any of that?
John Demeritt: No, I think you've got it spot on that.
George Carter: Does that help, Dave?
Dave Rodgers: It does. George and team, thanks for the time this morning.
George Carter: Thank you.
Operator: The next question comes from Frank Lee with BMO. Please go ahead.
Frank Lee: You mentioned a couple of quarters ago that you are going to look to pull forward several TI projects and that we should expect some elevated CapEx. Can you provide an update on how far along are you with these projects and expectations for CapEx spending in '21?
John Donahue: Good morning, Frank. It's John Donahue. We continue to see some large tenants delay their occupancy. The largest of which is Lennar in Miami at Blue Lagoon. That lease actually commenced in the first quarter as of February 1, but they don't intend to move to their new headquarters until later in the year. And so, that is a substantial TI package that has been delayed yet again. And so, we may not see that until the very end of the year, possibly even slip into next year. So, there's quite a bit of unpredictable volatility, if you will, on when the TIs are going to come in. Other than that, we have a handful of renewals. We're very pleased that some of our larger tenants have expanded recently and we're seeing the potential timing of that to be the back half of this year. So, my best guess - of course, we don't really know when the tenants will submit their request for reimbursement on the TI packages. But my best guess at this time is that we'll see TIs heavily weighted to the back end of the year and possibly even slip into next year. I hope that helps a little bit.
Frank Lee: Yes, that's helpful. And then just a follow-up on some of the asset sale commentary you provided. Just curious what are your current thoughts on the investment market appetite for core versus value-add assets and what give you confidence today that this is the best time to put some assets for sale into the market?
Jeffrey Carter: Thanks, Frank. This is Jeff Carter. The way we've seen - the way we've been analyzing and assessing the market with amongst ourselves and with the professionals that we work with, here till date during the pandemic, the most welcome and attractive property for investors has been stabilized, whether they're single-tenant or whether they're a couple of tenants that have term and certainty associated with them. Our disposition in December had a tenant in the life sciences that had kind of an intermediate term remaining, but it was an interesting compelling market and compelling tenant in a compelling location. And so right now, there seems to - it's a little bit unpredictable still, but the market favors still stabilized assets in high-quality locations that have visibility in the future. We're seeing less action right now in the downtown markets than we are in suburban and suburban infill markets. And so - and the second part of your question was what gives us confidence right now. I think a couple of factors that I'd point out and the first is actually the COVID-19 pandemic itself and the unique sensitivities that it's brought relative to pricing, buyer demand, and appropriate timing as you mentioned. We had the ability to do some of the prospective sales that we're contemplating now last year and we - because of the uncertainty of COVID and especially prior to the new vaccine rollouts, we really deemed taking our patience being key and important. The second is, as George and I both discussed was the December 23 sale of Emperor Boulevard. That really affirm to us that even in this pandemic that we do have properties within our portfolio that possess embedded value that may not be appropriately reflected in our current share price and that have potentially achieved their near-term valuation objectives and that other direct real estate investors may well recognize. Third factor I think relates to the increased levels of leasing that we've had in the FSP portfolio in recent times that have yielded some new situations for us where some goals in some of our properties have been achieved and valuation objectives are now plausible to potentially unlock. Two examples are Centene and Timberlake that we mentioned that extension and expansion, as well as Booz Allen extension at Meadow Point Northern Virginia, both of which I should say are not necessarily intended dispositions, but are likely potential candidates. And a fourth factor again is just that FSP, as George mentioned, really is interested and desires to gain financial flexibility, primarily through debt reduction to position the Company for stronger potential shareholder returns. I hope that helps.
Frank Lee: Yes. That's helpful. And then just last one for me, you mentioned of client proceeds from dispositions to pay down some debt. Is there a leverage ratio that you're targeting?
John Demeritt: This is John Demeritt. We don't have a - necessarily have a leverage ratio that we're targeting, but the net debt-to-EBITDA ratio has been running a little high. And so, we're looking to get that ratio down and got a little tight on our covenants with some of the rent write-offs that we've had. So, we're just looking to get that down a little bit.
Operator:  The next question comes from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: George, can you help us understand why now versus a year ago or 18 months ago or sometime in the past, some color as to what drove the decisions at the Board level to do the asset sales now?
George Carter: Hi, Rob. Sure. Jeff talked to a lot of it and I'll have him jump in here, but at the Board level, we certainly, during 2020, were very concerned about market activity relative to the pandemic. So, that's sort of - that's sort of took most of 2020 out, even though we had considered looking at some properties for disposition, the one property that we thought we'd test the market with at the very - sort of end of the 2020 year was the property in Raleigh-Durham. And in the process of doing that, that particular sale which did achieve our valuation objectives, we did a lot of research with various professionals that would help us look at some of the properties that we had considered over the last year, year and a half, but held off because of the pandemic and we've come to a conclusion that between the outside professionals who have analyzed some of these properties, we believe have achieved their objective, markets that they're in and then the action of - then pricing of our stock in the market over the last year, Rob, which obviously is precipitously down over the last year. We closed, I think, 2019 about $8.50 a share and closed this year in $4. So, when you look at the value of stock, the Board really felt like we were just so far below the NAV valuation of a number of our properties and that we could - after working with professionals and looking at the markets and seeing what other real estate investors are interested in buying, strictly private real estate investors, we felt that we could achieve this debt reduction which we wanted to do to gain more flexibility for our business and again, to continue to focus more long-term on the Sunbelt and Mountain West regions.
Jeffrey Carter: And just - Rob, this is Jeff. Just to build on that, I think that when you look at the last several years, last year in particular with COVID, until the vaccine breakthroughs came through, really, there was a few assets that we could have a considered. At the end of the year, we did disclose of Emperor Boulevard as George and I both mentioned, but I think that the vaccine breakthroughs of COVID give some better visibility to prospective buyers in the marketplace that there is hope again in the market versus the year last year where there wasn't. And second, I think that one of the things that makes a difference for us is that the increased levels of leasing that we have seen at FSP in recent times, have added opportunities and we've always indicated that we would sell assets when we think that they met their valuation objectives. We have had some successes even last year during such a hard year of doing just that that have created opportunities, that put the ability to realize value in front of us that again as George said may not be reflected in our current share price. And so, when you look at those factors combined with our desire to gain greater financial flexibility through debt reduction, we think there is a number of assets that may have reached that tipping point where we can recognize their valuation objective. I hope that helps.
Rob Stevenson: Okay. Yes. And then, I mean, given those debt reduction - given the debt reduction focus, I mean, is it safe to assume that whatever special dividend that you guys need to pay to be compliant that you guys will just pay in stock, is all the cash is just going to be earmarked for debt repayment. You're not going to hoard cash on the balance sheet to pay a special dividend in cash?
George Carter: That is not a good assumption. This is George, Rob. That is not a good assumption. Payment of the dividend will be decided by the Board, both in amount and type.
Rob Stevenson: Okay. And then last one for me. I mean, I guess along those same lines, stock price is down about 3% today. I mean - obviously, you don't have asset sales that are ready to close to offset against it, but I mean would you use - if the stock remains weak, would you use some of the proceeds to repurchase shares as well or is that basically off the table until the leverage comes down.
George Carter: We would absolutely consider repurchasing stock. And the timing of that would be in concert with the appropriate amount in our minds of debt reduction, timing of that debt reduction, the amount of the debt reduction and of course the price of our stock at any moment in time.
Operator: The next question is a follow-up from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Yes, John Demeritt, in your comments you mentioned a tenant watchlist. Can you give a little more color on that? Just on how many tenants might be on there, how much have been converted from GAAP to kind of cash rents, anything along those lines would be helpful.
John Demeritt: Most of the write-offs were smaller tenants and there were numerous ones, but to get an aggregate to a very big write-off really the most significant was the $3.1 million from WorldVentures that we talked about - that was like 1.25% of our rents and the rest of them, may be the total were about 1.5% of our rents. So, it really wasn't that significant. We have tenants that we're working with right now nothing of the magnitude that WorldVentures was. I think the co-working space is one of the things we look at and then a few other is at some other properties, but nothing is significant as WorldVentures.
Dave Rodgers: Okay, thanks for that. John Donahue, if you mentioned these, I apologize. Randstad, CITGO and Ovintiv, big expirations in the coming year. You've got quite a few, it sounds like renewals and expansions in the pipeline, but can you comment on those three specifically?
John Donahue: Dave, I believe you just listed Randstad. That renewal has already been exercised. CITGO is a tenant that we've been engaged with for quite a while. We're bound by confidentiality with that discussion. So, I can't provide any details, but they are engaged and we have a handful of mid-sized tenants that are engaged with early renewals that I don't want to name right now. Did you name another specific tenant that I missed?
Dave Rodgers: Ovintiv, was that one of them? I can't remember if that was sub-leased out or not.
John Donahue: Yes. So, that tenant is in Denver and they have subleased most of their space. That tenant was formally known as Newfield and the large majority of their space has been subleased. We're working with a few of the sub tenants now on what their space needs might be, but as you can imagine, the CBD downtown properties are pretty sparse on population right now. And so, future needs are being worked through.
Operator: This concludes our Q&A session. I would like to turn the conference back over to George Carter for any closing remarks.
George Carter: We want to thank everybody for taking the time to be on our earnings call. We look forward to the next one and 2021 - I hope it's a lot better year than 2020 from the pandemic point of view for sure. Thank you, everyone.
Operator: This conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.